Operator: Welcome to the Majesco Entertainment Company’s fourth quarter and full-year 2008 earnings conference call. (Operator Instructions) At this time I would like to turn the conference over to [Mike Smargeosy] of Brainerd Communicators.
[Mike Smargeosy]: I would like to welcome you to Majesco Entertainment’s conference call today. Before we get started, I’d like to remind you that this call is being recorded and the audio broadcast and replay of this teleconference will be available in the Investor Relations section on the company’s website. As a reminder, this call may contain forward-looking statements including statements regarding management’s intentions, hope, expectations, representations, plans or predictions about the future. Such statements are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that could cause actual results or actual future results to differ materially from the expectations set forth in the forward-looking statements. Factors that could cause actual results to differ materially are specified in the company’s annual report on Form 10K for the year ended October 31, 2007 and other filings with the SEC. The company does not undertake or specifically disclaims any obligation to release publicly the results of any revisions that may be made to any forward-looking statements to reflect occurrences of anticipated or unanticipated events or circumstances after the date of such statements. To facilitate a comparison between the reported periods, the company has presented both GAAP and non-GAAP financial results. GAAP financial measures include expenses related to non-cash compensation, settlement of litigation and related charges net, gains related to the settlement of liabilities and other gains and charges in the fair value of warrants. Operating income, net income and basic and diluted income and loss per share have been adjusted to report non-GAAP financial measures that exclude these expenses, charges and income related to non-cash compensation, gains on these settlements and warrants. These non-GAAP measures are provided to enhance investors’ overall understanding of the company’s current financial performance and the company’s prospects for the future. These measures should be considered in addition to results prepared in accordance with GAAP but should not be considered a substitute for or superior to GAAP results. Reconciliation between GAAP and non-GAAP financial measures is included in the press release issued earlier this afternoon. On the call today we have Jesse Sutton, Chief Executive Officer; John Gross, Chief Financial Officer and Gui Karyo, Executive Vice President of Operations. I would now like to turn the call over to Jesse. 
Jesse Sutton: Thanks Mike. Good afternoon everyone and thank you for joining us today. I’ll open up the call with some highlights and an overview of our performance for fiscal 2008. John will follow with our financial review and outlook and I will conclude with comments on some of our upcoming titles. Gui, John and I will then be happy to take your questions. 2008 was an exceptional year across all performance metrics. We exceeded the revenue guidance provided in September and achieved profitability ahead of schedule as we continued to successfully execute on our business plan which we implemented two years ago. For the year we delivered revenue of $63.9 million, a 25.3% increase over the last year. This was in part driven by solid sales from a number of titles throughout the year and a terrific fourth quarter in which revenue increased 51.2% exceeding our internal expectations. I would remind you this performance does not include the latest release from our Cooking Mama franchise, World Kitchen for the Wii which was released in early November. We are successfully converting this growth into bottom line returns as we achieve profitability ahead of schedule. For the year, non-GAAP operating income was $2.8 million, an improvement of $2.6 million from 2007 and Non-GAAP net income was $2.1 million for fiscal 2008, an improvement of $3.4 million from 2007. The progress we have made in driving profitability is a direct result of our focus on reasonably priced products for the mass market consumer and on our operating discipline in the past two years. During this time, we have right sized our cost structure and organized our operation to deliver profitable growth as we continued to execute on our business plan. Our growth strategy remains focused on the fastest growing market segment in the industry, the family friendly mass market genre. This segment of the market has been driven by the success of Nintendo’s Wii and DS platforms and their ability to deliver intuitive, fun game play. While we view all platforms as potential opportunities the Nintendo systems currently present the best fit with our core strategy of producing fun to play, intuitive games and we are fortunate to have a strong relationship and track record with Nintendo. Our combined Wii and DS business which is at the heart of our strategy increased 64% for the year and 86% for the quarter. During the year we successfully expanded our product line as we shipped 23 titles including 13 DS and 10 Wii. New DS releases in 2008 included Cooking Mama II: Dinner with Friends, Cake Mania II and Left Brain/Right Brain II. For the Wii, Wonder World Amusement Park and Jillian Michaels Fitness Ultimatum 2009 which supports the new Wii balance board accessory. International sales for the full year were 9.3% of total revenue. However, for the fourth quarter international represented 17% of sales as we improved our product availability during the quarter. We continue to view international as a very attractive opportunity to grow and diversify our revenue streams. Non-U.S. markets remain a top focus for our management team, specifically the securing of rights in Europe and Asia. We have also made considerable progress in our efforts to build a library of intellectual property rights which we believe will enhance the value of our company. Majesco Studios which launched in early 2008 will release its first title, Wonder World Amusement Park for the DS on January 20. This will be followed by Our House, also for the DS in late spring. We have taken a very prudent approach as we build our studio with essentially a neutral cost impact when compared to third party development. Our goal remains to generate 10-15% of our total releases through the studio. Finally we had a very successful fourth quarter and holiday sales period despite the unpredictable economic environment. Our titles have clearly resonated with our target market as video game consumers seek quality, family entertainment. Our Cooking Mama franchise has sold over 3.4 million units across four SKU’s the most recent of which just launched in mid-November. In Summary, 2008 was an outstanding year as we successfully executed on our strategy and delivered an improved financial performance. We are well positioned to benefit from consumer trends given our focus on the fastest growing segment of the market. We have entered this unpredictable economic period ahead of the curve regarding cost structure and operating efficiencies given our efforts to improve profitability over the past two years. We have a proven and disciplined business model and a management team that is committed to growing the company in a profitable manner. As a result of our financial progress, evolving our business plan and improving our top and bottom line results, we believe we possess an attractive, risk/reward profile for investors and look forward to building on our success in 2009. I would now like to pass the call to John Gross, Majesco’s Chief Financial Officer, to provide the financial review of our fiscal fourth quarter and full year 2008. 
John Gross: Thanks Jesse. Before I review our performance in detail, I would like to provide some highlights regarding the revenue, profitability and liquidity. With respect to revenue, our revenue in the quarter was up an impressive 51% to $18 million versus a year ago. This growth was driven by strong domestic performance as well as a 40% improvement in international revenue as we benefited from additional product availability which had previously been delayed. For the full year our revenue increased 25.3% to $63.9 million exceeding our guidance. This was driven by a domestic revenue increase of 55%, sales across our Cooking Mama franchise and the performance of a number of other titles including Wild Earth, Wonder World and Jillian Michaels in the fourth quarter. As Jesse mentioned, our core business, the Wii and DS were up 64% for the year and 86% for the quarter. Our gross margin for the fourth quarter was 27.8%, off from the 30.9% in the year earlier period. This was primarily the result of holiday value programs that while profitable were at a lower margin. For the full year our gross margin was 36.1% in line with our guidance of modest improvement over the 33.9% we reported in 2007. As for profitability, for the full year we improved operating and net income and achieved profitability ahead of our internal projections. We reduced our GAAP and non-GAAP operating and net losses for the quarter and for the year we significantly improved our profitability in both operating and net income. For the full year 2008, GAAP operating income was $1.5 million compared to a $3.8 million loss last year. Non-GAAP operating income was $2.8 million for the year ended October 31 versus non-GAAP operating income of $232,000 last year. We improved our operating profitability by $2.6 million on a $13 million revenue increase. Non-GAAP net income for fiscal 2008 was $2.1 million versus a $1.3 million net loss in 2007. GAAP net income per share was $0.08 per share versus a loss per share of $0.20 in fiscal 2007. Non-GAAP net income per share was $0.08 versus a loss of $0.06 in fiscal 2007. Turning to liquidity while our cash balance was down from last quarter and last year it was a reflection of pre-holiday activity. We substantially built our inventory which we reduced through the holiday period and launched our second Cooking Mama Wii title in November. We expect to be at least back to normal levels if not better at the end of the first quarter. We have made significant progress from both an operating and financial perspective over the past two years. We believe we are well positioned as we enter fiscal 2009 to continue to build value for our shareholders. Now for the details. The split between domestic and international revenues in the fourth quarter was 83% and 17% respectively. This compares to 81% domestic and 19% international in the same quarter last year. We continue to evaluate a number of opportunities to enhance our international performance and our long-term goal is to bring the split more in line with the overall industry. The 51% increase in total revenue for the quarter was driven by strong performance across both domestic and international. Our domestic sales saw strong growth both in the Cooking Mama franchise and our other products including Jillian Michaels. International sales were led by the performance of Wild Earth and Wonder World. Overall our expenses are under control as we remain disciplined in our approach to the business. Cost of goods sold are up slightly in the quarter as a percentage of sales primarily due to holiday value programs and an increase in lower margin international products released in the quarter. The increase in operating expenses includes an increase in volume related selling and marketing expenses in addition to a $300,000 bad debt write off. However, our SG&A line was actually down as a percentage of sales highlighting the operating leverage in the business. Our total cash fixed cost for the quarter which includes G&A, product research and the fixed portion of selling and marketing related primarily to employee costs remained within our expectations at roughly $3.5 million. This excludes the cost associated with our studio and non-cash compensation. For the full year both total cost of goods sold and total operating expenses were down as a percentage of sales. Product costs dropped as a percentage of sales largely as a result of a higher percentage of higher priced Wii sales in 2008 versus 2007. Our software development costs as a percent of sales declined as a higher average cost per product was more than offset by higher sales. Operating expenses for 2008 include a $300,000 reduction in the settlement litigation accrual. Operating expenses for 2007 fiscal year included a $2.8 million charge related to the settlement litigation and a gain on settlement liabilities of $300,000. Net of these items operating expenses for the year as a percent of sales were down slightly from 2007. Our variable selling and marketing expenses were also down slightly as a percent of sales as they increased 21% which was less than our overall revenue increase. In order to facilitate a comparison between reported periods we are reporting both GAAP and non-GAAP financial results for operating income, net income and basic and diluted results per share. Our non-GAAP results exclude the impact of expenses related to non-cash compensation, the settlement of litigation and other liabilities net and changes in the fair value of warrants. The GAAP operating loss for the fourth quarter was $900,000 which included a $400,000 non-cash compensation expense compared to 2007 operating loss of $1.5 million which included a $300,000 charge in connection with the class action litigation and a non-cash compensation expense of $500,000. Non-GAAP fourth quarter operating loss was $500,000 compared to a non-GAAP operating loss of $700,000 in 2007. For the full year the company’s GAAP operating income was $1.5 million which included a $300,000 gain in connection with the class action litigation and a $1.6 million non-cash compensation expense. This is compared to an operating loss of $3.8 million during the same period in 2007 which included a $2.8 million charge in connection with the class action litigation and a $1.5 million non-cash compensation expense. Non-GAAP operating income for the full year 2008 was $2.8 million compared to a non-GAAP operating income of $200,000 for the same period in 2007. For the full year GAAP net income was $2.1 million or $0.08 per share which included a $1.3 million non-cash gain in the fair value of warrants issued compared to a full year 2007 GAAP net loss of $4.8 million or $0.20 per share which included a $600,000 non-cash gain in the fair value of warrants issued. Non-GAAP net income was $2.1 million or $0.08 per share in 2008 compared to a non-GAAP net loss of $1.3 million or $0.06 per share in 2007. Financing costs decreased 58% to $649,000 for the year from $1.6 million in 2007. This is a direct result of the capital raised in the fall of 2007 in addition to lower factoring fees and improved cash flow generation from the business. Turning to our balance sheet as of October 31 we had $5.5 million in cash or cash equivalents. Our due to factor was $983,000 which represents gross receivables sold to the factor of $12 million less allowances of $3.1 million and advances from the factor of $9.6 million. This compares to our 2007 fiscal year end due to factor of $1.5 million which represents gross receivables sold to the factor of $7 million less allowances of $3.1 million and advances from the factor of $5.4 million at October 31, 2007. Our inventory was $5.6 million at fiscal year end 2008 versus $3.9 million a year ago. This increase in inventory was in line with our internal plan to build inventory for the holiday period. Almost all of the increase was for Cooking Mama and was sold during the first quarter of 2009. We expect to be back to normal inventory levels at the end of the first quarter. Our capitalized software development costs and license fees were up versus year-end 2007 reflecting the growth in the number of titles we are publishing and the higher cost and lower development cycles of WII titles. Turning to guidance for 2009, for fiscal 2009 we expect net revenue to be in excess of $70 million up from the $63.9 million we reported in 2008. We also expect to be profitable for the full fiscal year. We believe that our gross margins for the full year will be similar to 2008. While we are off to a strong start in the first quarter of 2009, we have limited visibility into the rest of the year due to the current unpredictable economic environment. Our guidance assumes the release of approximately 31 titles in 2009. We expect to update our guidance when we report fiscal first quarter 2009 results in March. I will now turn the call back over to Jesse. 
Jesse Sutton: Thanks John. I would like to conclude with some comments on our 2009 line up which includes a number of titles we are very excited about. Fiscal Q1 titles include Cooking Mama World Kitchen for the WII, the sequel to the best selling Cooking Mama cook-off game that has sold more than several hundred thousand units and challenges players to use the Wii remote as the ultimate cooking utensil. Cake Mania: In the Mix for Wii marks the first introduction of Sandlot Games best selling PC title on a Wii system. The game integrates motion based control with the serious signature cake baking, multi-tasking game play style. Left Brain/Right Brain 2 for DS is the follow-up to the original hit that features all new challenges to train both hemispheres of the brain and help players become truly ambidextrous. Wonder World Amusement Park for DS is the first game from Majesco Studios Santa Monica. This companion game to the Wii version lets players experience a complete day at the park in the palm of their hands. Using the touch screen players can toss, drive, shoot, whack and spin in more than two dozen mini games throughout six themed zones. Looking at the rest of fiscal 2009 some of our announced titles include Gardening Mama for DS starring Mama from the multi-million selling Cooking Mama franchise and the first gardening game available on DS. Gardening Mama transforms the stylus into a universal gardening tool that players will use to plant, nurture and harvest flowers, fruits and vegetables. Math Blaster is a prime adventure for DS. It is inspired by the original hit PC game from Knowledge Adventure that makes learning fun by combining a variety of adventure based learning games with challenging mathematic puzzles and unique capabilities of Nintendo DS. Powerhouse Party for Wii turns the Wii remote into the ultimate home renovating tool that lets players compete party style to build their own personalized trophy home they can then share with friends via Wii Connect 24. Powerhouse on DS is the second game from Majesco Studios Santa Monica. This companion game to the Wii version lets players work as contractors and then use their work-for-hire earnings to design, build and decorate their own personalized home. Rolling Rascals for DS challenges players to roll adorable round pets around obstacles and into identical twos to clear them from the game board in this addictive puzzler. Major Minor’s Majestic March for Wii marks the return of the creative team behind the renowned PaRappa the Rapper franchise. Legendary game designer and multi-media musician Masaya Matsuura and famed New York artist Rodney Alan Greenblat. The game turns the Wii remote into a special baton, that band leader Major Minor uses to keep tempo, recruit new band members and pick up valuable items while marching through whimsical locations. That concludes our formal remarks. 
 :
Operator: (Operator Instructions) The first question comes from the line of Michael Pachter - Wedbush Morgan Securities. 
Michael Pachter - Wedbush Morgan Securities: You guys are guiding to relatively flat margins on revenues that will be at least 10% higher so if I am doing the math right we are going to see gross profits grow by about $2 million. Should we expect you can continue to manage your operating expense or should we expect an increase in opEx because I’m trying to get to a profit number? 
Jesse Sutton: I’ll let John talk about the opEx. I just want to specifically note I happen to be a very big Pittsburgh Steeler fan and that they are still alive and doing well. So from that perspective I am looking forward to the future with them. From another point of view, John why don’t you take the discussion? 
John Gross: As you know the operating expenses are a combination of both variable selling and marketing expenses as well as fixed costs. We would expect to see an uptick in the advertising and marketing line which is obviously part of the operating expenses as we are supporting our products with a little bit more media than we have in the past. 
Michael Pachter - Wedbush Morgan Securities: We wouldn’t expect anything dramatic in G&A or product development? 
John Gross: No. 
Michael Pachter - Wedbush Morgan Securities: I am looking at your first quarter which is about two weeks from being concluded so you should have a pretty good feel and we are going to get NPD numbers in a couple of days. Should I expect the pattern over the four quarters that is similar in 2009 to what we saw in 2008 with kind of lumpiness on the front and back quarters and then slightly dip in the middle two? 
Jesse Sutton: I think that is a fair assumption but I also think it also relates to which products get delivered in which quarters. I think overall that is a fair assumption. 
Michael Pachter - Wedbush Morgan Securities: Should we be looking for continued international sales growth? You had a 40% year-over-year growth in Q4. Should we expect that is going to continue or are we going to see much more robust international sales for all of 2009? 
Jesse Sutton: I think from an overall 2009 perspective it is fair to expect growth. From a quarter-to-quarter perspective I think it has to depend on products we are delivering in Europe at that time. 
Operator: The next question comes from Jon Gruber – Gruber & McBane. 
Jon Gruber – Gruber & McBane: Jesse, Jillian Michaels…how did that do at Christmas? What is the outlook and what are your plans past this version? 
Jesse Sutton: We are happy to say the product is doing well. I think the November NPD numbers illustrated that it is doing well. It continued to sell into December. We will wait until the NPD numbers come out soon. It is a brand that we are hoping to continue here into 2009 and 2010. 
Jon Gruber – Gruber & McBane: You said 70+. 70 seems a little bit…what is the plus? Could you do another 25% which would be slightly closer to 80? What is the plus here? What is your range? 70-90? What is your view there? 
Jesse Sutton: I think that as the year goes on and this unpredictable market rights itself and becomes clearer we will have a better sense of where that plus is and we will come back on a quarter-to-quarter basis and continue to update the investment community accordingly. 
Jon Gruber – Gruber & McBane: Gross margin was funky in the fourth quarter. You had $4 million revenue over estimates yet none of it fell to the gross margin line and why going forward do you see no improvement for the gross margin which included those fourth quarter gross margins? 
Jesse Sutton: It is basically a product mix perspective. I will let John elaborate on it. 
John Gross: It is a few things. First of all in the fourth quarter we typically have a higher percentage of what we call our value programs which are by nature lower margin. I think as we step back and look at it to sort of follow-up on a point Michael raised, in terms of our margins it is extremely difficult to look at our margins on a quarter-to-quarter basis because they are so dramatically influenced by the introductions of products. For example in the first quarter we have our Cooking Mama Wii product and in those quarters we tend to have large bumps in margin like we did in the third quarter and then for example in the fourth quarter with the value programs it will dip. I think the only way to look at our gross margins is to look at them over the four quarters. The second part of your question as it relates to 2009 and why we are guiding in that respect there we have found that we are doing better to a large degree when we are investing a little bit more in product and so you will see a slight uptick in development cost but our expectation is over time obviously that will be offset by the success of the products.
Jon Gruber – Gruber & McBane: But that wouldn’t affect gross margins at all in the process in R&D right? 
John Gross: It does affect gross margin. The R&D is a fixed cost, what you see down in operating expenses. That is the fixed cost of our internal production department which manages the outside development and our QA group. The outside development cost we pay to outside developers to build our products as well as the majority of our studio costs are in gross margin. 
Jon Gruber – Gruber & McBane: Is it pretty much independent if you do $74 million or $81 million, the gross margin? Do you think it will still be flat? Or with the higher number it would be higher? 
John Gross: I would think if it is higher it would most likely be slightly higher as we would be getting a better return on the development investment. It would depend on if we are doing additional products or exactly what the mix is but if I was guessing I would think that would be the result of higher sales on the same level of marketing and the same development costs. Obviously we have royalties we pay on a per unit basis so a piece of that wouldn’t matter. 
Jon Gruber – Gruber & McBane: Wii and Nintendo split and other? Do you have that? 
John Gross: Yes, it was in our release. The Wii/DS product mix for 2008 is virtually 100% in 2008.
Jon Gruber – Gruber & McBane: I meant the mix between the Wii and the DS. 
John Gross: In 2008 for the year we are looking at about 2 to 1 DS to Wii but the Wii has caught up. The Wii doubled year-over-year and DS was up around 50%. That is largely a function of the titles we did a lot more Wii titles in 2008 than we did in 2007.
Operator: The next question comes from the line of John Taylor – Arcadia Investment Corp. 
John Taylor – Arcadia Investment Corp. : I have a lot of questions on margin I guess. Let me approach it this way. I wonder if you could talk about the marginal contribution once you load everything in. In Q4 it looks like for every additional dollar you generated about 4% margin on additional operating income and yet for the year as you noted it was more like 20%. So if we are looking at Q1 which has more Jillian and more Cooking Mama and stuff like that in it what would you think the contribution margin might be on each additional dollar of revenue? Could you maybe take a stab at it that way? 
Jesse Sutton: I think the only challenge in doing that is it is a question of product mix. It is a question of where every dollar of revenue comes from. Obviously if every dollar of improved revenues comes from the Jillian’s and Cooking Mama then you see the kind of margins we had in the third quarter last year and the first quarter of 2008. If you have a bigger influx of value based products and less launches in that individual quarter you are just going to end up with lower margins. The way we view it is on an overall annual basis and we hope the products we call our big AAA products will sell way beyond our expectations and grow our margins accordingly. 
John Taylor – Arcadia Investment Corp. : So if you look at Q4, the one you just reported and maybe Q1 as a basis do you happen to have what the mix was between the full and the discounted or value based for any of those periods? 
Jesse Sutton: Q1 last year and Q4 this year? 
John Taylor – Arcadia Investment Corp. : Yes, in other words what was the mix like between full and value priced in Q4 in the period you just reported which would account for some of the margin erosion and maybe what was the base we can compare off of for last year in Q1? 
John Gross: I’d have to go back and take a look at Q1 but intuitively the value programs tend to be more prevalent at holiday so it would be both a little bit of our fourth quarter because of the nature of our fiscal year and our first quarter. But the other fact that Jesse mentioned is for example in the first quarter of this year when we dropped Cooking Mama in November we are getting a full quarter’s worth of margin and revenue from that. We had nothing in the fourth quarter. So I keep coming back to saying that the best way of looking at the business is to really look at it over a four-quarter point of view unless you have particular insight into something happening in a particular quarter where you would say knowing nothing else you would expect our first quarter this year to be very strong because you have Cooking Mama and because we did Jillian late in the fourth quarter of last year so we are going to get some carry through from that. We are doing Gardening Mama this year which is somewhere around the bubble at the mid to the end of the second quarter so again that can be a factor there. If it is in the second quarter obviously it is going to be very positive. If it ends up in the third quarter obviously that is going to flip it over. 
John Taylor – Arcadia Investment Corp. : That’s kind of what I’m getting at. It looks like visibility for Q1 because of Jillian and Mama II is looking pretty good so I think we are all trying to get at what the marginal contribution might be off of potential upside and maybe back to Michael’s earlier question maybe the year is distributed a little bit differently because of early visibility. Who knows? That’s what I’m trying to get at the earnings implication of that. 
Jesse Sutton: I think a lot of it has to do with the continued revenue generated from those two products over the course of the year and how well they do. 
John Taylor – Arcadia Investment Corp. : Jesse you highlighted a number of titles in Q1. Do you have the international IP rights to all of those that you mentioned in your script? Mama Kitchen maybe not, but the other ones? 
Gui Karyo: Work kitchen we do not. Nor Jillian. But Worker World DS we do have as do Cake. 
John Taylor – Arcadia Investment Corp. : So Wonder World you do. Cake you do. Jillian you don’t. What about Our House, Math Blaster, Major Minor? 
Gui Karyo: Our House isn’t released until spring so it wasn’t one of the Q1 products. Math Blaster I would have to double check but I’m pretty sure that is a domestic product. 
Jesse Sutton: Our House and Math Blaster are both internal IP’s that we have worldwide rights for. 
John Taylor – Arcadia Investment Corp. : So of those about half it looks like you have global rights to or at least European. Could you give us an update on the status of the lawsuit getting resolved? 
Jesse Sutton: As we previously announced we have signed settlement agreements in the class action and our litigation with China Capital. The settlements are both subject to court approval. At this particular time we can’t predict exactly what that date will be and the shares will be distributed to the settlement class if and when the court grants that approval to the settlement and the settlement becomes effective. 
John Taylor – Arcadia Investment Corp. : Do you have a hearing date or something like that which is kind of sooner rather than later? 
Jesse Sutton: Not at this time. 
John Taylor – Arcadia Investment Corp. : Is that unusual that you wouldn’t have a date to finalize this? 
Jesse Sutton: Is it unusual? 
John Taylor – Arcadia Investment Corp. : Yes. It seems like you’d want to get this done with. I’m just curious why there is not a hearing date or something a motion date or whatever. 
Jesse Sutton: At this point there is a hearing date in process but we haven’t finalized that date. 
John Taylor – Arcadia Investment Corp. : So that is still up in the air I guess. Channel inventory, what are your reserves right now against receivables and could you give us a sense of where channel inventories are relative to 12 months ago? 
John Gross: From the point of view of our product actually the channel inventories are lower than they were in the past. All of our fourth quarter product actually did quite well so the reserves now on a comparative basis are probably a little less than they were last year based on the sell through in the channel. 
John Taylor – Arcadia Investment Corp. : Nothing you could quantify for us? 
John Gross: No. I would say that the inventories are significantly lower than they were last year. 
Operator: There are no more questions at this time. I would like to turn the conference back over to management for any additional remarks. 
Jesse Sutton: Thanks again for joining us today. We look forward to speaking to you again in our first quarter 2009 earnings call in March. 